Operator: Good morning, ladies and gentlemen. Welcome to the BCE Q4 2024 Results and 2025 Guidance Call. I would like to turn the meeting over to Mr. Thane Fotopoulos. Please go ahead, Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Matthew, and good morning to everyone on the call. Thank you for joining us. With me here today are Mirko Bibic, BCE’s President and CEO; and our CFO, Curtis Millen. You can find all of our Q4 disclosure documents, including the safe harbor notice concerning forward-looking statements for 2025 and our financial guidance targets for this year on the investor relations page of the bce.ca website which we posted earlier this morning. We have a lot of material to get through on this call. However, before we begin, I'd like to draw your attention to our safe harbor statement on Slide 2, reminding you that today's slide presentation and remarks made during the call will include forward-looking information and therefore are subject to risks and uncertainties. Results could differ materially. We disclaim any obligation to update forward-looking statements except as required by law. Please refer to our publicly filed documents for more details on assumptions and risks. With that out of the way, I'll turn the call over to Mirko.
Mirko Bibic: Thank you, Thane, and good morning, everyone. Our financial results in Q4 and in 2024 demonstrate our disciplined execution in an ultra-competitive market as we took the necessary near-term actions to balance growth with profitability and to reduce costs to achieve our target objectives. In terms of overall consolidated financial performance, we achieved all our non-revenue targets for 2024. We were also within our revised revenue guidance objective notwithstanding sustained aggressive wireless pricing in Q4 and continued softness in the traditional media advertising market. Notably, our consolidated EBITDA margin increased 1.2 points to 43.4%, our highest annual margin performance in over 30 years. A few other select operating highlights for 2024, and I'll start with wireless. We delivered positive wireless service revenue growth despite the most pricing intense market we've ever seen. This is a direct reflection of our focus on premium brand customer loadings and managing our promotional offers responsibly. In fact, all our new postpaid customer net activations in 2024 were on the main Bell brand, which should help improve ARPU going forward. We grew broadband Internet market share and drove higher multi-product penetration. This contributed to internet revenue growth of 3.3% and a 12% increase in households that subscribe to mobility and Internet service bundles where we have fiber. We now have 3 million residential Internet customers on our FTTH network and that's up 10% in 2024. Our speed advantage and quality gap over cable shows in these results and that will continue to grow over time. Turning to media, we grew digital revenue 19% over last year, helping to offset the secular pressures in traditional media. Digital now comprises 42% of total media revenue and that's up from 35% in 2023. And this strategic shift to digital will be supported going forward with investments we made this past year, including the availability of Crave, TSN and RDS content on Amazon Prime Video channels in Canada, the newly launched Crave, TSN, and RDS bundles, a new self-serve buying platform for advertisers looking to reach local audiences, Bell Media's multi-year extension of Crave's partnership with Warner Brothers Discovery for HBO and Max content and the launch of 10 new fast channels. We also made further progress in advancing our BCE transformation agenda by continuing to leverage technology, automation and simplification to drive meaningful CapEx and meaningful operating cost efficiencies. These transformation initiatives, together with savings realized from our workforce reduction program, delivered well over $200 million in cost savings in 2024. We're also seeing the benefit in terms of lowering CapEx, which declined $684 million in 2024 to approximately $3.9 billion. And our momentum to advance our position as a tech services leader in the business enterprise space also continued to ramp up in 2024, with strong business solutions services revenue growth of 18%. In summary, our performance in 2024 reflects a focused company in the midst of transformation, while at the same time driving day-to-day execution to serve our customers, grow subscribers profitably, and prudently manage costs. I'm now going to turn to Slide 4 of our presentation. Bell is an iconic company that's delivering on its purpose to advance how Canadians connect with each other in the world. At the same time, we're operating in an environment with the lowest pricing we've ever seen, as I mentioned, and with continued macroeconomic and regulatory pressures. This has resulted in revenue declines. In this context, it's incumbent on us to develop a business strategy that will generate revenue growth. And critical to the successful execution of the strategic plan is prudent management of our balance sheet and capital allocation priorities. We've spent considerable time with our shareholders, and we've heard their perspectives. So let me outline very clearly our plan of action that will carry us for years to come that focuses on our customers and on creating value for shareholders. It plays to our strengths and it prioritizes the following core elements, putting the customer first, offering the best Internet and wireless networks and services, business technology services leadership and fourth, building a digital media and content powerhouse. There's a fifth pillar as well, and that's to continue to transform our business by leveraging technology, automation and simplification in a way that's more agile, lower touch and digital to drive even more meaningful CapEx and operating cost efficiencies than we've already delivered. I'll now go through each element of the plan. Let's go to Slide 5. As you can see, it begins and ends with the customer. Customers are our top priority. They're looking to access faster, easier experiences on their terms. We strive to make it easy for our customers to do business with us, whether that's doing what they say -- what we say we'll do, getting you the right help fast, offering bill accuracy and transparency, making it right if we fall short or providing the same information, whether you call us, visit us or go to a store or go online. This approach drives significant cost savings and a massively improved customer experience which results in better customer satisfaction, lower churn and ultimately, revenue growth and higher customer lifetime value. Bell is the first Canadian telecom company to name a dedicated Chief Customer Experience Officer with a mandate to create best-in-class experiences for our customers in every encounter across all channels. The new role is responsible for the entire customer experience from end-to-end sales, installation, billing, support, managing changes to plans and packages and technology changes. We're prioritizing digital interactions to create smoother and more seamless processes for customers whether they want to purchase new services, change their plan or simply get support with a technical or billing issue. And we'll continue to take advantage of the award-winning MyBell app, virtual repair and self-install tools. But we know that everyone has a different level of comfort with technology. So we'll always provide options to those who prefer to speak to a customer service agent on the phone. Now let's go to Slide 6. As I said, our plan is to create sustained revenue growth that will benefit customers and investors now and well into the future. Our broadband Internet and wireless networks are the foundation of our business. Fiber is the future. It's the winning strategy, offering the fastest Internet technology and providing a more durable alternative to copper, cable or fixed wireless. We've been transforming ourselves into a fiber-first company, and that is going to continue, and our fiber growth will be supercharged with the acquisition of Ziply Fiber, the largest broadband and fiber in net provider in the US Pacific Northwest. This strategic acquisition will grow BCE's position as North America's third largest fiber Internet provider. By year-end 2028, we expect to have approximately 12 million fiber passings in North America. This will accelerate subscriber revenue and EBITDA growth for Bell, generating long-term value for our customers and shareholders. And as we announced previously, we intend to finance the Ziply Fiber deal largely with the net proceeds from the pending sale of MLSE. This is a very strategic redeployment of capital into our core business and a clear indication that we will act on compelling opportunities to monetize noncore assets. Next, we have wireless. It's a tough environment right now in Canada as the industry is going through a period of unprecedented price competition. But as that stabilizes and as we continue to focus on costs and operational simplification, wireless will remain a key growth vector. We're going to continue to focus on value accretion, delivering better quality margin-accretive subscriber loadings on our main Bell brand and increasing service bundle penetration in multiline sales while managing pricing and churn. The third key area of focus to generate revenue growth is technology solutions leadership in enterprise. We've set an ambitious goal to generate $1 billion in annual revenue by 2030. Our enterprise customers are transforming their businesses, and they want our help. Bell created a leading IT services and cybersecurity business accelerated by the acquisitions of FX Innovation, HGC Technologies, Stratejm and CloudKettle. We're going to deliver among the best technology solutions in end-to-end cloud, IT, workflow automation and security, leveraging our strong partnerships with AWS, Azure, Google Cloud, Salesforce, ServiceNow, Palo Alto and others that are complementary to those acquisitions and important to our success going forward. This supports our goal to become the IT systems integrator and managed services provider of choice to key industry verticals. The fourth big opportunity is continuing Bell Media's momentum and pivoting from a traditional broadcaster to a digital media and content powerhouse. That journey is well underway with 42% of our media revenue now coming from digital sources. That's up from just 17% in 2020. And here's something I haven't shared with you before. About half of that $1.3 billion in annual revenue is new digital revenue from products, including direct-to-consumer streaming, Crave with ads, connected TV and other ad-supported streaming options such as fast channels. Notably, the other half of our digital revenue comes from advertisers buying ads on our traditional platforms and who use Bell Media's digitally enabled sales tools to optimize their ad campaigns. Bell first-party data to optimize advertising placement on our traditional channels and Bell Analytics to measure the success of that advertising. Importantly, this allows us to protect a large portion of our traditional revenue because of the customer experience and value out of our digital tools. The fifth key pillar is outlined on Slide 7, sorry, of our presentation. As I mentioned, our execution will continue to be supported by our ongoing business transformation from a traditional telco to a techco. And what I really mean by that is modernizing and simplifying how we do business and how we operate. Our goal is to generate $1 billion in cost savings by 2028, if not sooner. We have a number of focused initiatives underway, including consolidating our consumer order and billing systems, automating manual back-office functions, deploying cloud-based workflow management and CRM platforms, deploying a cloud-based TV service, prioritizing digital interactions, enabling more self-install and, of course, migrating customers from copper to fiber, so we can decommission copper. We started this business transformation in 2022. And at the end of 2024, we were halfway towards our stated goal. I'll now turn to Slide 8 and address our balance sheet management and capital allocation strategy. Our approach to capital allocation is to balance long-term investment to generate growth while strengthening the balance sheet and optimizing our cost of capital. We remain focused on maintaining investment-grade credit ratings for our senior debt and lowering our leverage ratio closer to our target policy of three times adjusted EBITDA. Regarding our dividend, we recognize that we have an elevated payout ratio that is outside our policy range. That's reflected in BCE's share price and dividend yield, which we are disappointed with. BCE's dividend and dividend policy will continue to be reviewed by the Board, taking into consideration the competitive macroeconomic and regulatory environments as well as the progress being made on the initiatives being discussed today. I also want to make clear that the discounted DRP, the DRIP is in place for now. As opportunities arise to monetize noncore assets, access the hybrid debt market and establish more capital-efficient ways to fund our US fiber build, all of which would drive a lower cost of capital, then we would look to turn off the DRIP program. In terms of capital investment, we continue to lower CapEx and capital intensity while continuing to invest significantly in our business just as we said we would back in 2021 when we first announced our accelerated CapEx program. Last February, we said that our plan was to reduce CapEx by more than $1 billion over the 2024, 2025 timeframe. In fact, we're ahead of plan having achieved nearly 70% of that objective by the end of 2024. However, because of the CRTC's rejection on Monday of a Governor and Council request to reconsider its November 2023 decision, that provided TELUS and other large carriers temporary wholesale tariff access to our FTTH network, we are cutting CapEx by more than we anticipated would be the case for 2025, and with that, our capital intensity ratio will be approximately 14% in 2025. This reduction is clearly greater than what we would have done otherwise. Consequently, we will not be delivering our fiber build-out target of 8.3 million homes by the end of this year. So what originally began as a $9 million deployment plan in 2021 will now be less than $8.3 million. This decrease in our fiber build-out is a direct result of the CRTC's refusal to Ban TELUS and other large carriers from reselling the FTTP network we've built. We will revisit our build-out plan if the CRTC reverses its decision. Our position on this issue has been stated many times. The CRTC's decision is, in our view, misguided as it goes against its long-standing facilities-based competition policies, which have clearly encouraged private investment. These policies have enabled our significant network investments that brought fiber to millions of homes and businesses for the benefit of Canadians. Post 2025, BCE's capital intensity ratio, including Ziply Fiber is projected to be at most 16.5%, while Bell's stand-alone capital intensity is projected to drop below 14%. Regarding Ziply Fiber, that acquisition allows us to move capital to an asset that will drive significant growth in our core fiber business in a leverage-neutral manner. We forecast very compelling IRRs for the targeted 3.3 million homes to be passed by Ziply fiber by the end of 2028. We would review other potential opportunities to grow that fiber footprint but only with a build-out structure that would bring third-party capital to invest alongside Bell effectively reducing BCE's funding requirements. Turning to debt. We appreciate that many shareholders would like us to focus on deleveraging. We're carefully reviewing our noncore assets and we'll continue to capitalize on opportunities to monetize them where it makes financial and strategic sense. This review process has already resulted in the planned divestitures of Northwestel and MLSE. Additional noncore assets have been identified and any proceeds of their sale are expected to be used to strengthen our balance sheet, improve our leverage ratio and optimize our cost of capital. Between Northwestel, MLSE and potential other noncore asset divestitures, we see up to $7 billion being generated. In addition, there's a significant amount of untapped value that exists in our telecom infrastructure and we're assessing the best ways to surface that value. Financial advisers have been retained to assist in this regard given the importance of such potential transactions. In conclusion, the strategic and operational roadmap I've shared in detail today will guide our actions for 2025 and beyond. To quickly recap and to summarize the main elements of that roadmap, here's what we're going to do, put the customer first in our decisions, continue to execute in a disciplined manner in Canada, focusing on margin-accretive subscriber growth using our fiber and 5G wireless network advantages, work towards building a $1 billion plus revenue technology services business, rapidly accelerate Bell Media's digital revenue mix, generate $500 million in further transformation savings to reach $1 billion by 2028, considering divesting up to $7 billion in noncore assets, inclusive of our pending sales of Northwestel and MLSE and optimize our cost of capital as we continue to focus on maintaining investment-grade credit ratings for our senior debt. We will share our progress on these various elements with the investment community transparently and regularly. And before I hand it over to Curtis for a review of our Q4 operating results and financial guidance targets for 2025, let me conclude with a couple of thank yous. First, to the entire Bell team for your perseverance, dedication and resourcefulness in a challenging environment, and second, to Thane, as this is his last analyst call after many years of outstanding service to our company, which we greatly appreciate. And with that, Curtis, over to you.
Curtis Millen: Great. Thank you, Mirko, and good morning, everyone. I will begin on Slide 10 with BCE's consolidated financial results. Adjusted EBITDA was up 1.5%, which drove a 90-point margin improvement to 40.6%. As expected, total revenue was down 0. 8%, reflecting the flow-through impact of sustained competitive pricing pressures over the past year and ongoing declines in legacy voice, data and satellite TV services. Both Q4 net earnings and adjusted EPS were up over last year, reflecting higher EBITDA and some noncash mark-to-market gains on FX hedges and options. CapEx was down $66 million in Q4, bringing total CapEx savings to $684 million this year, which was, as Mirko commented, well ahead of our plan to reduce capital investment by at least $500 million in 2024. Lastly, Q4 free cash flow was in line with our quarterly forecast, reflecting higher interest paid as well as the timing of cash tax installment payments and working capital. Turning to Bell CTS on Slide 11. Postpaid net adds of 56,550 were down versus a very strong Q4 last year. Consistent with our focus on margin-accretive subscriber acquisition, all new customers were on the main Bell brand. While postpaid churn was up and remains higher than we'd like, it did represent a fourth straight quarter of deceleration in the year-over-year rate of increase. Mobile phone ARPU was down 2.7% and this is a notable improvement versus the 3.4% decline in Q3. In Internet, we delivered over 34,000 total new net retail subscribers. We continue to capture the majority of new growth in our markets because of fiber, even as industry growth is slowing due to high broadband penetration, fewer newcomers and less new footprint expansion. In TV, we lost 444 net IPTV subscribers in Q4 compared to a net gain of 23,537 a year due to lower Internet volumes and fewer Fibe TV app activations, which can vary quarter-to-quarter. Moving to Bell CTS financials. Total revenue decreased 1.1%, a sequential improvement from the negative 3.3% in Q3. Wireless service revenue was down 1.5%. We expect the rate of decline will improve going forward as ARPU improves, however, the industry will be fueling the effects of the last 18 months of competitive pricing on their service revenue for a while longer. Internet revenue was up 3.4%, a solid result showing we're striking a balance between market growth and disciplined pricing. We also saw continued business solution strength, where revenue grew 14% over last year. This was driven by higher sales of technology services as well as acquisitions made over the past year. When excluding the impact of those acquisitions, business solutions revenue still grew a healthy 6% organically. On the product side, overall revenue was up in Q4, marked a reversal from prior quarters in 2024. This was mainly the result of higher sales of land mobile radio systems to large enterprise customers in the government sector. Lastly, Bell CTS EBITDA was positive, growing 0.7% to yield a strong 42.9% margin. That's an increase of 80 points over last year, driven by our continued focus on cost management as evidenced by a 2.4% decrease in operating cost per quarter. Over to Bell Media on Slide 12. Continued digital momentum and good overall financial performance marked by a third consecutive quarter of revenue and EBITDA growth. Digital revenues were up 6%, mainly on the back of strong Crave DTC streaming growth, which drove an 18% increase in Crave subscribers to more than 3.6 million subscribers. On the strength of our digital strategy and contribution of OUTEDGE Media, total advertising revenue increased for a fourth consecutive quarter. The Bell Media team also did a great job managing operating costs, which contributed to EBITDA growth of 14.2% and a 2.3 point increase in margin to 20.3%. That does it for quarterly results. I'll now turn to our 2025 financial outlook starting with revenue and EBITDA on Slide 14. Our consolidated revenue and adjusted EBITDA guidance for 2025 reflects the latest economic forecasts and industry outlooks. There also remains continued regulatory uncertainty as a result of this week's CRTC decision. The competitive pricing environment has created flowthrough revenue pressure in our Bell CTS segment for 2025. A sustained improvement in wireless and broadband Internet pricing will be key in our ability to deliver positive consolidated revenue growth this year. We also expect restrained enterprise customer spending on traditional network products and services and a continued market shift by wireless customers to BYOD mobile phone transactions. Additionally, we estimate a revenue loss in the range of $125 million in 2025, following a $260 million elimination last year due to the timing of the source store closures and transition of Best Buy Express in 2024. As this revenue is largely consumer electronics related, the impact on EBITDA will not be material given low margins for such products. While declines in legacy voice and data revenues will continue to weigh on Bell CTS EBITDA, our fiber 5G wireless and B2B solutions business continue to present attractive growth opportunities. Underpinning this expectation is our continued focus on premium mobile phone subscribers as we lean on our 5G network leadership and ongoing market expansion driven by population growth and our progress in the newcomer market, multiple device penetration gains and multi-product bundling with Internet and Bell Media content. In our wireline B2B operations, our objective is to build on the momentum from 2024 to be the best systems integrator and managed services provider for our customers, while also leveraging our broadband fiber footprint to grow share in SMB. At Bell Media, we expect to deliver higher revenue, this reflects continued digital advertising and D2C streaming growth as well as the contribution of OUTEDGE Media, which are expected to outpace declines in traditional media and favorable retroactive subscriber revenue adjustments in 2024. We also anticipate absorbing higher year-over-year content costs. Given these segment outlooks, and consistent with 2024 results, we're setting our 2025 guidance growth ranges at minus 3% to positive 1% for total revenue and minus 2% to positive 2% for adjusted EBITDA. We also anticipate a higher year-over-year margin supported by further cost savings from the transformation initiatives that Mirko outlined earlier. And I will qualify that our revenue and adjusted EBITDA guidance ranges are unaffected by the pending divestitures of Northwestel and exclude the favorable impact of Ziply Fiber. That acquisition is only expected to close in the second half of this year, at which time we will update our financial guidance targets as required. Over to Slide 15 for a summary of our adjusted EPS outlook, which we project to be 8% to 13% lower compared to 2024. This year-over-year decline can be attributed mainly to the same factors as last year, namely a year-over-year step-up in interest expense, higher depreciation and amortization expense, consistent with ongoing, but reduced spending in our broadband networks, and lower gains on the sale of real estate related to our multiyear consolidation and conversion program. Additionally, for 2025, we're forecasting tax adjustments to be around $0.03 per share less than last year, and a higher average number of common shares outstanding because of the discounted DRIPs. Turning to Slide 16. Free cash flow is projected to increase by 11% to 19% in 2025. This marks a return to growth, driven by lower CapEx and an improved working capital position, partly offset by higher interest paid. As Mirko stated, given this week's CRTC decision, we are now currently budgeting approximately $3.4 billion in CapEx for 2025, which is $500 million lower than last year. Our free cash flow outlook for 2025 also reflects stable to slightly lower cash taxes compared to last year, a relatively unchanged working capital position and cash pension funding that remains essentially unchanged as we continue to benefit from a full contribution holiday, given the strong solvency position of our defined benefit plans. Severance payments are also anticipated to be relatively the same as 2024 at around $300 million which remains higher than run rate. But given that a portion of employee departures related to the workforce restructuring initiative we announced last February were only completed in Q4 with associated onetime payments to be made in Q1 of this year. Turning to Slide 17. I want to take a moment to drill down on our expectations for capital intensity over the next several years, both for standalone Bell, and on a combined pro forma basis with Ziply Fiber included, given that CapEx is such a critical free cash flow driver. Bell's standalone CapEx spending going forward is now on a declining path given the planned slowdown of our fiber build in Canada as well as efficiencies from significant prior investments in digital transformation initiatives. As a result, we can operate Bell at a very efficient capital intensity ratio of approximately 14% this year and below 14% beyond 2025. As for Ziply Fiber, they are currently accelerating their fiber build-out like Bell did back in the '21 to '23 time frame. Therefore, they will be at a peak CapEx spending over the next few years, which will increase BCE's capital intensity ratio more than on a standalone basis. Ziply Fiber's base case in footprint fiber build-out to approximately 3.3 million locations by the end of 2028 can be fully executed at a pro forma combined company capital intensity level of around 16.5% during which time they are projected to generate double-digit EBITDA growth annually. Turning to Slide 18. We as we begin the year, we have access to $4.5 billion of liquidity, which is enhanced -- has been enhanced with a $500 million increase in our committed credit facilities to $4 billion, and a balance sheet with a sizable pension solvency surplus totaling $3.7 billion. All this provides us with the financial flexibility to execute our business plan for 2025. Our net debt leverage ratio at the end of 2024 was approximately 3.8 times adjusted EBITDA. Importantly, the acquisition funding for Ziply Fiber is leverage neutral and has been structured to maintain our senior debt credit ratings investment grade. We're keenly focused on reducing our leverage ratio which is projected to begin decreasing this year as we capitalize on opportunities to monetize noncore assets and use the sale proceeds to strengthen our balance sheet and optimize our cost of capital. Furthermore, all of our $2.1 billion of public debt maturities in 2025 have been largely prefinanced and the Ziply Fiber transaction is being fully funded with the net sale proceeds from MLSE together with cash generated from the discounted DRIP. I'm pleased to report that the initial participation rate has been strong with a 34% enrollment rate for the Q4 common dividend payment in January, which resulted in $308 million of cash being obtained. To conclude on Slide 11, the financial guidance targets we are providing today for 2025 are prudent, given continued competitive pricing pressures and economic and regulatory uncertainty, as we focus on the key strategic priorities that Mirko outlined to drive future growth and undertake a proactive review of BCE's asset portfolio to unlock value. We remain confident in our proven consistent operational execution and cost discipline to deliver under any circumstances. I will now turn the call back over to Thane and the operator to begin Q&A.
Thane Fotopoulos: Thanks, Curtis. So given the volume of information we presented this morning, I'm sensitive to the time we have left. So I'd ask you to please limit yourselves to one question and a brief follow-up, so that we can get to everybody in the queue. With that, Matthew, we're ready to take our first question.
Operator: Thank you. The first question is from Maher Yaghi from Scotiabank. Please go ahead.
Maher Yaghi: Great. Thank you for taking my question. And please let me join you Mirko with thanking Thane for his help over the years. Thane, you will be greatly missed. A quick question, Mirko, on your prepared remarks. You mentioned in the context of your US fiber footprint expansion, you mentioned the build-out structures that could include third-party capital. Can you elaborate a little bit on what that means in terms of additional CapEx or investments that BCE is expected to deploy in the US and what could be deployed by third-party capital. And you also referred to noncore asset sales. Does that include Bell Media? And finally, on the dividend, in your November press release, you indicated that the dividend was set until the end of '25. However, in today's press release, you indicate that the dividend could be reassessed if economic change. Does this mean the dividend could be changed even before the end of '25 if conditions change? Thank you.
Mirko Bibic: Okay. Thank you, Maher. So let me take those. On the -- I think it was your second question on the noncore assets at Bell Media. I think I can -- I'll go -- I'll deal with that one first because I can deal with it pretty simply. So in my prepared remarks, I did outline four core elements of our strategic roadmap to generate revenue growth and you’ll have noticed that one of them is to build a digital media and content powerhouse. So I think that kind of answers your question right there about Bell Media and particularly the digital pivot is a key strategic growth vector for us. And I think that's the best way to answer that question. On the US fiber build, I think the best way to answer that right now is just to reiterate that our priority now is to close the acquisition of Ziply Fiber. And as I've mentioned several times, I think that transaction is going to move capital to an asset that's going to drive significant growth in our core fiber business, which is, again, best networks and fiber-first companies, one of our key strategic growth vectors. And we're going to do that in a leverage-neutral manner. I want to emphasize that again. And beyond -- think beyond repeating what I said in my remarks, I did say that we'd review other potential opportunities to grow the Ziply Fiber footprint. But with build-out structure that will bring third-party capital to invest alongside us to reduce our funding requirements. I won't give specifics to the extent of what that might look like other than I think what's important to note, which I did not say in the opening remarks is that we have received a number of inbound calls asking us if we'd be interested in doing that. And to me, I mean, that's quite interesting, right? First of all, it speaks to the value and the attractiveness of the Ziply Fiber asset and the potential for growth in the US, and it also speaks to the desire of third parties to work with Bell in particular, and it speaks to kind of our expertise in fiber. So, I'll leave it at that. On dividend, I guess I'd say that what we're going to do here on capital allocation is balance long-term investment to generate growth. And you asked me two questions already about that. But at the same time, we're going to strengthen the balance sheet and optimize the cost of capital, and that's how we're going to return value to our shareholders. And as I said in the opening remarks, the dividend payout ratio is elevated right now. It's outside our policy range, don't like where the share price is at. And so the dividend and the dividend policy will continue to be reviewed by the BCE Board, and as we do that, we'll take into consideration, like I said, the competitive environment, the macroeconomic environment, the regulatory environment and the progress we're making on the various strategic and operational initiatives that I outlined. So, you wrap those three questions together, Maher, I'd say kind of the message to take away from me is we're going to continue to execute in the market along the four or five core vectors that I outlined. We're going to focus on our investment-grade rating. We're going to de-lever, and we're going to optimize the cost of capital.
Maher Yaghi: Thank you, Mirko.
Operator: Thank you. Our next question is from Drew McReynolds from RBC Capital Markets. Please go ahead.
Drew McReynolds: Yeah. Thanks very much. Good morning. Maybe I'll just also echo congrats, Thane, and then we'll definitely miss you. So, first question, just on leverage. You ended the year at 3.8 times. And, Mirko, in your prepared remarks, obviously pretty extensive kind of blueprint that you outlined. Just to give you additional financial flexibility, like, where would you like to see leverage by the end of 2025 and beyond 2025? What does that kind of pace and time line look like? And related to that, can you talk to your expectation of closing additional noncore assets or some of the infrastructure options you may have in 2025, and then I'll have a follow-up after that. Thank you.
Curtis Millen: Hi, Drew, thanks for the question. It's Curtis. So, I'd say we're focused on maintaining our strong investment grade credit rating, and we are focused on reducing our net leverage ratio, as you say. So, continued focus on driving free cash flow growth, the asset review process, as Mirko mentioned, it's resulted, as has already been publicly announced, our divestitures of MLSE and Northwestel, and there are a number of other incremental initiatives on the go, each of which would actually help strengthen our balance sheet and optimize cost of capital and reduce leverage. Don't have more details in terms of those initiatives when they're ready to be announced, we will do so. And of course, we'll keep everyone informed on a transparent manner as we progress.
Drew McReynolds: Okay. And a follow-up then on just the revenue growth guidance range negative 3% to plus 1%. I think I caught Curtis in your remarks, the plus 1% depends on constructive competitive environment. But more broadly, you've called out macro regulatory and competitive. On the macro and regulatory side, first on the macro, obviously, a fairly tariff -- potential tariff situation for Canada to be determined just what was your assumption in and around that? And then secondly, on the regulatory side, is it really -- and I don't want to be able to adjust the TPIA ultimate framework with [indiscernible] restrictions or that treatment that's still pending. That's really an issue with respect to that revenue growth guidance range. So said it a different way, we get decent outcomes on macro, decent outcomes on regulatory decent outcomes on competitive, are you comfortable in getting a flat to plus 1% as opposed to the bottom end of the range? Thank you.
Curtis Millen: Yeah, thanks for the question, Drew. And look, I think on the tariff side of the world, it's a little early to know what the actual impact would be. As of this date, there are no tariffs, so we'll obviously be looking at that closely. Shouldn't be a material impact, but again, let's wait for details and see how that plays out. In terms of regulatory, kind of similar question. I mean, it's the status quo at this point, and unfortunately the CRTC kind of pushed the decision down the line. We don't think it's conducive to driving innovation and investment in Canada, especially in our networks, but again, we'll have to wait for a final decision. And then ultimately, as you know and as the market knows, I mean revenue growth is dependent on pricing in market and right now it's a very competitive pricing environment. We've seen certain green shoots and improvements in certain areas over the last few weeks. But again, it's a matter of how long those pricing increases will be sustained.
Mirko Bibic: I'd add -- it’s Mirko, I'd add on the regulatory front, quite to put it bluntly, we're not in the business of building fiber for TELUS’s benefit. And that's what the CRTC policy that's in place right now forces us to do. So, to us, it makes no sense that the CRTC is forcing incumbent resale at a time, if you kind of combine your two questions together, Drew, at this particular point in time, when Canadian productivity is already lagging and we're having conversations about how to boost the Canadian economy and boost productivity, I don't understand why a regulator would put in place policies that create disincentives to investment, puts jobs at risk, and puts at risk the building out of critical infrastructure. It seems like the wrong policy at exactly the wrong time. And we all know that our world leading, and I say Canada here, our world leading communications infrastructure was built on long-standing facilities-based competition policy that served this country very well for years and years.
Drew McReynolds: Got it. Thank you.
Operator: Thank you. Our next question is from Sebastiano Petti from JPMorgan. Please go ahead.
Sebastiano Petti: Hi, thanks for taking the question. Also echo congratulations to Thane, you will be missed. In terms of -- just maybe a couple of quick follow-ups here, I think kind of on the topic of the following up on Drew's question there about just kind of the macro outlook. I think, Curtis, in your prepared remarks, you did talk about maybe a little bit of decision-making or implied essentially enterprise spend. But I mean, have your conversations with large enterprises, SMBs, advertisers, demonstrably changed over the last few months or is there just more kind of predictability or uncertainty kind of baked into the guidance as we kind of think about the macro outlook and just kind of echoing on Mirko's remarks just now as well? And then another follow-up, perhaps to your US fiber strategy, just on convergence and partnerships, obviously bundling is core to the Canadian telecom ecosystem and a very big and emerging theme here in the US, an area of debate for the big three wireless operators. So, I mean, as the wireless incumbents push harder on fiber and bundling in the coming years, I mean, do you see the need to inevitably partner with a wireless operator or maybe stand up an MVNO to successfully compete in the rapidly converging market in the US? Just kind of given Ziply's relative scale to some of the other announcements we've seen in the US market from Telcos. Thank you.
Mirko Bibic: Thank you. It's Mirko. I'll take the second one first. The structure, as you know, is different in the US, the industry structure, than it is in Canada, certainly at this point in time. And then I would point out, really important to point out, in the Pacific Northwest, it's a highly attractive, high growth market. And Ziply Fiber’s footprint is basically either Ziply with its fiber or one cable company. So Ziply Fiber and its footprint isn't competing with integrated providers. And without the wireless offering at this point in time, the management team there has executed extremely well and continues to take, see quite significant and impressive subscriber growth, revenue growth, and EBITDA growth, and we expect that to continue especially as we proceed on its build-out plans in its current incumbent footprint. On the macro side of things, I think the best way to kind of address the larger macro question, Sebastiano, is can I link it back to the pillars of growth that I outlined? If you think about our best networks proposition and what we've delivered and what we continue to think we're going to deliver. We continue to take the majority of internet net ad growth in the market and we expect that to continue in 2025. The percentage of customers we have on the higher speeds is impressive and we can expect that to continue. Our multi-product penetration in Canada is continuing at pace. And you see that in our results and in our Internet revenue growth results. And our wireless loadings are all on the premium Bell brand, which is something that we focus on all the time. So, while the market isn't growing as fast in internet or wireless as it had before, it's still growing and we're going to execute on these things as we have in the past. Again, to macro, go back to now media and digital media in particular, that's continuing, the pivot to digital is continuing at pace and we expect that to continue quite strongly. On business, whether or not it's small, medium or large, the big focus on business solutions, we got to be mindful of what the macro environment will bring to budgets of our enterprise customers, but our business solutions revenue is going to continue to grow. And of course, we've got to manage the overall environment, so cost will continue to be front and center. So. all these things are going really well. Now pricing, Curtis mentioned green shoots on market pricing, both on broadband and wireless. So, hopefully the green shoots that we're seeing in the early days of 2025 sustain themselves through the entire year. I would hope so, particularly when you think about the tremendous value that the industry provides to consumers and enterprises, and particularly Bell. But those new pricing levels really do need to stick.
Sebastiano Petti: Thank you.
Operator: Thank you. Our next question is from Vince Valentini from TD Securities. Please go ahead.
Vince Valentini: Hey, thanks very much. Lots of good stuff here and lots to unpack. First up, Thane, yes, all the best to you. At the risk of offending others I've dealt with over the years, you're definitely the best IR person I've ever dealt with in my 30 years, so you'll be sorely missed, but all the best to you in retirement. If I can just try to clarify that the revenue guidance first, Curtis, it sounds to me like you're saying the higher end is possible if recent pricing changes are sustained. I just want to make sure that's the case as opposed to are you saying we need even more than everything that's been announced in January in terms of broadband price increases by almost everybody and wireless price increases. If we just see those stick, does that enough to get you towards the higher end or do you need even more? And I have -- I'll throw the other question in now to make sure, Thane doesn't cut me off. On the $7 billion target, I just want to unpack and make sure we understand that properly. You've already announced $5.7 billion of the $7 billion between MLSE and Northwestel, so that leaves $1.3 billion only as new stuff you're working on for this year. Is that the way to think of that $7 billion target? And can you clarify this? Is this stuff of pure selling stuff that's non-core and you don't need? Or is it -- are you thinking these are potentially sale and leaseback transactions or transactions with EBITDA implications? Like, is it really just a full net $1.3 billion of cash to pay down debt or is there potential offsets based on some of the transactions you've been looking at? Thank you.
Curtis Millen: Yeah. Hi, Vince, it's Curtis, thanks for the questions. I'll take the second question first. So, you're right, that's the math. It's $1.3-implied-billion of other asset sales, and I would characterize them as non-core. This is not meant to be kind of sale lease backs that would have a capital lease component after the fact. Again, there might be some EBITDA sales, but all of this would be EBITDA sold as part of that, but these would all be de-leveraging transactions and strengthening the balance sheet. So, you're thinking about it the right way. And in terms of the first question, in and around revenue and ability to hit the high end, obviously there are many factors that flow into our revenue performance. High pricing -- higher pricing in market, and if this pricing increase that we've seen over the last few weeks sticks that certainly helps. I mean if it would go up a little more it'll help even more. So, I think it's too early to pinpoint one specific variable but certainly pricing in market is a key driver.
Vince Valentini: Very clear. Thank you.
Operator: Thank you. Our next question is from Aravinda Galappatthige from Canaccord Genuity. Please go ahead.
Aravinda Galappatthige: Good morning. Thanks for taking my question. And let me start by sort of offering my best wishes to Thane. You’ve been a great source of support and integrity during my time covering Bell. Two question -- one clarification from me. First of all, Mirko, you indicated in your comments that with respect to sort of the US fiber expansion, you're open to third party investments. Could you say that you would go so far as maybe sort of having a separate entity operating that that may not be controlled by Bell or may not be consolidated by Bell with the view to keeping that off balance sheet? I realize that's a bit of a speculative question but just wanted general thoughts on that. And then secondly, with respect to your Internet revenue growth, the 3.3%, we've seen that number kind of ebb and flow between low single-digits and mid. I mean, is it fair to say that going forward, it's really sort of price increases that kind of help keep that in the mid-single-digit range given the competitive dynamics in terms of subscriber share? Thanks.
Mirko Bibic: On the second question on the Internet revenue growth, yes, pricing would be the key lever there particularly as you -- since you consider that we're continuing to take the majority of net ad growth. So that's going to continue and therefore pricing becomes the key lever. And on the first question with respect to potential structures in the US, I think the most I can say right now is, again, we'd be looking at potential opportunities to grow the fiber footprint, but only with build-out structures that would reduce -- effectively reduce our funding requirements. And the most direct way to answer your question at this point in time is that as we think that through, we're going to remain focused on maintaining our investment grade ratings for senior debt, which is again one of the key things that I've made sure to emphasize more than once in our time together this morning, executing the market to drive revenue growth, focus on that investment grade rating, de-lever, which Curtis again emphasized in response to Vince and optimize the cost of capital.
Aravinda Galappatthige: Okay. Thank you, Mirko.
Operator: Thank you. Our next question is from Jerome Dubreuil from Desjardins Securities. Please go ahead.
Jerome Dubreuil: Good morning. Thanks for taking my questions. Two on CapEx. Maybe you want to clarify the comments made on the decision with regards to the CRTC earlier this week. You said the reduction is related to the CRTC decision this week, but at the same time, basically they're just punting the decision later this year. So, do you intend to increase CapEx again this year if the CRTC blocks incumbent resale of fiber? So that is question number one. And question number two is a bit more of a long-term CapEx neutral level. At the AT&T Investor Day, we saw them announce a way to get rid of expensive copper through more usage of fixed wireless, where there's no business case for fiber. Is this something that you would consider and that would have regulatory support in Canada and maybe if you can talk about the potential savings that this could bring longer term, just trying to figure out if there's ways to reduce CapEx further even if fiber builds come to a halt. Thanks.
Mirko Bibic: So on the first, I’ll let Curtis -- will answer the second one, Jerome. On the first question, our CapEx guidance is set for the year as we outlined this morning and really as it relates to the regulatory decision and where it ultimately ends up later on in the year, it's going to dictate how we allocate the capital within the guidance range, if you know what I mean. So we're going to have our CapEx budget and where we make the investments throughout the year and into the following years will, in a significant way, be guided by that decision. So that's how I would answer the question. So we can pull back on fiber build or we can increase fiber build, but that will remain within the intensity ratio that we've guided. But what I do know given this week's decision is that right now it doesn't look like we'll be hitting the 8.3 million target homes that we had outlined over a year ago. And over to this -- for the second question over to Curtis.
Curtis Millen: Yeah, and the second question, Jerome, it's a good one. Not as much clarity in the near term. I'd say long term, we're in alignment with you in terms of -- there's just an overall benefit to reduce legacy technologies and legacy networks. Obviously, the path there is dependent on regulatory, so it's not complete within our hands. We do see in the US a little bit more willingness to retire legacy networks and convert to newer technologies. Hopefully that's the case up here. I do think there would be significant efficiencies in terms of maintenance costs as well as frankly our ability to sell copper and real estate of COs, et cetera. So, I think it’s -- I think you're directionally right. It's difficult at this point to know timeline or scale, but certainly eventually a win for us all.
Jerome Dubreuil: Thanks, and congrats, Thane, as well.
Thane Fotopoulos: Thank you.
Operator: Thank you. Our next question is from David Barden from Bank of America. Please go ahead.
David Barden: Hey guys, thanks so much for taking the question. I feel like it's a privilege to be part of the last time that we all have an opportunity to adore Thane. Admonition to have one question and one follow-up, but thank you for everything, Thane. Mirko, so I wonder if you could elaborate a little bit because your statement about not -- choosing not to hit your original fiber investment goal because of the regulatory environment and this is a little bit of an escalation from last year's commentary, is basically saying that the Canadian fiber broadband business is un-investable and that you'd rather invest in the US. And if the CRTC continues going down this path, bad things will happen. We haven't had a conversation about what those bad things look like. What does -- what do you fear happening if TELUS does come in to resell your fiber and what opportunities do you have to perhaps resell fiber in other markets for the future? I'd like to hear that, like that scenario that is so dire that it's changing your whole outlook about the capital investment opportunity that you could see in the Canadian market. And my follow-up question would be just specifically towers. Is towers a non-core asset and are towers a thing that you think about monetizing as you address the balance sheet? Thank you.
Mirko Bibic: Okay, so on your second question, I guess I'll just reiterate what I said in my opening remarks which is there's a significant amount of untapped value in our telecom infrastructure. So, we're looking at ways that we could surface value there. And that's why I pointed out that we've retained financial advisors to retain -- to assist us in that regard. But however we do that, that wouldn't be part of the $7 billion that I outlined and that Curtis reiterated when he was responding to Vince's question. On your first point, I think what I'm really trying to convey is the following. I mean, it's pretty clear that the most sustainable form of competition is through companies who build their own infrastructure. So, we would always rather compete on the basis of networks we own. So I think that's the simplest way to get at a couple of points that you were making in your first question. We want to build, we want to compete against other well-capitalized companies that build their own, and we're prepared to do that here obviously in Canada and we're prepared to seize on the growth opportunities in the US. So what happens going forward? I didn't say that we would stop entirely building in Canada. What I said is that we're not going to hit the 8.3 billion, so there's going to be a significant slowdown in the pace of build. In greenfields, as new housing continues to be built, of course we'll be looking at the opportunities so long as we can generate the appropriate return to build infrastructure to new greenfield areas. But again, that means that a much, much slower pace of build in Canada than otherwise could have been the case and it really comes down to where is the best use of the next incremental dollar of capital and fiber, that's what we're always going to be looking at. And now we're going to be able to look at it from a kind of a broader footprint area. Brownfield in Canada where we have legacy copper versus greenfield in Canada versus Pacific Northwest, the fact that we're having this conversation actually speaks to how inappropriate that CRTC decision was. And I know there's going to be a final ruling later in the year. And that's all well and good, except that cabinet had clearly asked the CRTC to make a ruling by this week, and they didn't.
David Barden: Appreciate it, Mirko. Thank you.
Thane Fotopoulos: Thank you. Next question.
Operator: Thank you. Our next question is from Patrick Ho from Morgan Stanley. Please go ahead.
Patrick Ho: Hello, good morning. Patrick Ho on the line from Morgan Stanley. Also want to echo my congrats to Thane. Thanks for all the help over the last few years. Just a couple of questions for me. Firstly, on the DRIP program, when exactly are you looking to turn this off? And are you guys targeting a specific payout ratio or leverage level or simply the closing of Ziply in order to decide to turn it off? And then I guess secondly, just wanted to ask about your current back book as it relates to wireless. How much of this has been repriced to reflect the current pricing environment right now? Thank you.
Curtis Millen: Thanks, Patrick. It's Curtis. I'll address the first one. So, look, as Mirko said a few times here, our intention is always to optimize cost of capital. So, we recognize that issuing equity at these levels is expensive. So, the DRIP is not something we intend to keep in place long term. There's not a specific date I can give you but ultimately the balance sheet actions and benefits that we've talked about throughout this this call, prepared remarks and Q&A that we've outlined, obviously that's going to accelerate the turning off of that DRIP. And in terms of the back book, our key priority is to get churned down. So customers that are with us, we want to have them stay with us. That's how I'd answer the back book.
Patrick Ho: Great. Thank you.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting over to Mr. Fotopoulos.
Thane Fotopoulos: Thank you, Matthew. So, I just want to take a quick second to say thank you to Mirko for his kind words and to all the analysts who have reached out to me in the past few months with their good wishes. And you've challenged me as has the investment community. And I've been very privileged and honored to have been part of such a great company for the past 20 years and the industry for the past 27, well over 110 quarters. It's been an honor to be part of such an amazing company. I've witnessed the transformation of Bell from what it was to what it is now, and the best is yet to come, and we have the best team and leaders in place to do that, to take Bell to the next level. And I'll be watching from the sidelines very keenly. And thank you to everybody, and I wish everybody the best. On that, that said, as usual, Richard and I will be available throughout the day for any follow-up questions and clarifications. So, thank you again and have a great day.
Mirko Bibic: Thank you for listening. Thanks, everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.